Operator: Ladies and gentlemen, thank you for standing by and welcome to the Phoenix New Media Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Wednesday, November 9, 2016. I would now like to hand the conference over to your first speaker today, the IR Director of Phoenix New Media, Mr. Matthew Zhao. Thank you, please go ahead, sir.
Matthew Zhao: Thank you, operator. And thank you and welcome to Phoenix New Media third quarter 2016 earnings conference call. I'm joined here by our Chief Executive Officer, Mr. Shuang Liu; our President, Mr. Ya Li; and the Chief Financial Officer, Ms. Betty Ho. For today's agenda, management will provide us with a review on quarter and also include a Q&A session after the management's prepared remarks. The third quarter 2016 financial results and the webcast of this conference call are available at the Investor Relations section of www.ifeng.com. A replay of the call will be available on the website in a few hours. Before we continue, I refer you to our Safe Harbor Statement in our earnings press release, which applies to this call, as we will make forward-looking statements. Finally, please note that, unless otherwise stated, all figures mentioned during this conference call are in Renminbi. With that, I would like to turn the call over to Mr. Liu Shuang, our CEO.
Shuang Liu: Thank you Matthew, good morning and good evening everyone. I'm very pleased to report a solid financial results where we exceeded the streets profit estimates. This growth was primarily driven by strong results around our mobile advertising demand. The robust 69% year-over-year increase in mobile advertising revenues continue to highlight the sustainability of our overall advertising revenue growth. This exemplifies solid progress in the implementation of our mobile strategy and we are encouraged by these strong results that we continue to see in this area. Meanwhile, the macro environment remains challenging in the industry and it's no exception for us. We expect the trends to continue in the near future but are confident that our strong mobile execution and performance would help us cover these macro headwinds. We continue to focus on strengthening our core capabilities by providing our users with customized uniquely, specialized and high quality [indiscernible]. We remain diligent and agile as the media industry evolves in China. As such we're excited to have the best Chinese Media Executive, Mr. Chen Tong as the Co-President of Ifeng and the President of Yidian. Cheng Tong is the pioneer of China's internet media ecosystem. Having involved with the industry and spearheaded the development and success of Chinese portals, at levels of productions. He is a proven winner with significant media and content development expertise and a deep understanding of the changes and direction that are taking place in our industry. More importantly, he clearly sees and understand the tremendous growth opportunities that present for the phones and tablets. Going forward, he will be responsible for Ifeng's constant operations management and product operations and public relations. What's happening with Yang [ph] who helped to Ifeng into the next level of internet media expansion. We are extremely excited about Cheng Tong's appointment and look forward to working with him to build the company and accelerate our success for years to come. Moving on to Yidian Zixun and Ifeng's encouraging progress; we continue to solid user growth for Yidian Zixun as total average DAUs for the September almost tripled year-over-year to more than $40 million users. Unlike other personal aps, our leverage is advanced data connection and analysis technology, is able to help users to avoid many technical traps such as over push capillary news, title batting, limited and compliant information being pushed which is creating a very narrow protectors and then it covers similar issues. Yidian Zixun aims to provide all users with more balanced and professional compliment that it's far beyond other competing platforms aggregated and commoditizing us. By using an increasing amount of AI and machine learning technologies, the product encourage users to explore and express the information he or she specifically wants. In addition, Ifeng's strong media allows us to make an ideal balance between average [ph] and professional journalism to prevent over exploiting the human witness and user interests which in turn provides superior user experience based on all readings of personal interest and printing company appears comfortable. Meanwhile such personalized and specialized contents are first significantly battered targeting updates with advertisers and thus improves monetization opportunities. In addition, we recently launched our strategic partnership with OPPO. Concepts with [indiscernible] apps have just started to shift over the past months as we've expect monetization to begin at the end of this year. In addition, this partnerships allows OPPOs browser on both, existing and new phones exclusively using climate news stream while also further strengthening our partnership with Xiaomi. Similarly to OPPO, Xiaomi has also directly invaded the in-depth credit news stream and it's going very well. It is important for us to mention that both of these partnership have enabled substantial Yidian branding exposure, our major global handset manufacturers. We're confident that by strategically partnering with handset manufacturers and effectively marketing the app will achieve more sustainable long-term user growth and establishing them at the leading personalized company consumption app in China. Moving on to Ifeng developers; we hosted and sponsored numerous events around the globe this quarter. The company holds the 2016 Ifeng brand and toy store [ph] and Phoenix International; both of which was sponsored by major brands and received tremendous request. The Ifeng fashion toys is at annual large-scale fashion award ceremony, thus recognized Chinese representatives and topped fashion brand that made significant contributions to the fashion industry in the past year. Importantly, this year's event was broadcasted live, has achieved record viewership with more than 2.3 million viewers tuning in. In addition, Ifeng has been increasingly engaged in giving back to the global community; on September 30 with sponsors has attended a charity event hosted by our [indiscernible] in Los Angeles who raised money to help Chinese children with camp-less and had talents. The event attracted nearly 500 attendees including political and business leaders from both, U.S. and China. However, advocates and many other influential public figures. The charity dinner was remarkable success, and we are extremely honored to be able to work with organizations such as Operation Smile, to help children worldwide. We firmly believe that these type of charity initiatives characterize -- consistent on stress methods to utilizing our unique media platform and global influence to contribute to the path of the development of Chinese Society. Going forward, we continue our leverage our global footprint and leaders to sponsor and participate in more international efforts. On the Company side, Ifeng continues to be innovated and industry-leading in its constant creation and is now taking advantage of the opportunities that come with the rising popularity of live broadcasting. By differentiating ourselves from other live broadcasting platforms which are more focused unlike liberty style, chat room broadcasting, but able to leverage our unique influence and immediate accuracy to broadcast live major events in fashion, travel, film premier, conferences, product launches and many other verticals with key opinion leaders. We believe that by doing so, our live broadcasting offering will be strengthened and user stickiness to our platforms will be further enhanced. Whatever, we recently converge Ifeng and Yidian's media account together in effort to further leverage our New Media resources on both fathoms [ph]. Going forward through a consolidated constant pool ur ALL CAPS. For your court super can finally come to cool for New Media sponsors both Ifeng and Yidian can recommend and distribute New Media with a powerful distribution channel which has close to 70 million data visitors. By continuing to act on the strategic initiatives, of course all of our fathoms were confident that we will capture new growth opportunities that improve our market position to drive value for users, strategic partners and shareholders. To conclude, as obvious, we are committed to providing our users with a higher quality of media content that caters to each user's particular needs and interests. Both Ifeng and Yidian continue to make large strides in improving our platforms with cutting-edge technology and high quality propriety company as the industry and viewer consumption habits. We remain focused on the execution of our mobile extension strategy and continue to work with our strategic partners to improve our pre-store app adoption and user booking. We believe that we have the right strategy and team in place to further improve our performance and capitalize on the growth opportunities that exist at the intersection of Big Data Analytics supported by advanced algorithm and high quality journal. We look forward to deliver additional value to our valid users, partners, and shareholders. With this, I'd like to turn it over to our CFO, Betty Ho.
Betty Ho: Thank you, Shuang. And thank you all for joining our conference call today. As Shuang mentioned earlier, we are very glad to have another strong quarter with bottom-line which has beaten the street consensus; driven by the mobile growth. Ifeng total revenues for the third quarter came in at RMB360.1 million, driven by the mobile advertising sales growth. Non-GAAP net income attributable to Phoenix New Media for the third quarter was RMB25 million, or RMB0.34 non-GAAP net income per diluted ADS. Now let me take you through our financial highlights for the third quarter of 2016 results. The amounts mentioned here are all in RMB, unless otherwise noted. The differences between GAAP and non-GAAP are non-cash or non-operating items which are share-based compensation and loss from equity investments including impairments. Starting with revenues, net advertising revenues for the third quarter came in at RMB310.4 million, which represents a year-over-year increase of 3.5%. The increase was primarily due to the 69.4% year-over-year growth in mobile advertising revenue and was partially offset by 22.8% year-over-year decrease in PC advertising revenues. Paid service revenues for the third quarter was RMB49.6 million, which represents a year-over-year decrease of 45.1%, which was better than expected. MVAS revenues decreased by 63.7%, to RMB25.8 million, mainly resulted from the decline in users demand for services provided through Telco operators in China which was consistent with the company's expectation given the shrinking demand for such services in general. Games and other revenues increased by 23.5%, to RMB23.8 million, primarily due to the increased revenues generated from online digital reading services through the company's own platform. Secondly, gross profit and margin, non-GAAP gross profit for the third quarter of 2016 was RMB172 million, compared to RMB184.7 million in the same period last year. Non-GAAP gross margin for the third quarter slightly increased to 47.8%, from 47.3% in the same period last year. In terms of cost of revenues, non-GAAP content and operational costs as a percentage of total revenues increased to 34.6%, from 26.6% in the same period last year. It was primarily driven by the increase in general operating cost and ever [ph] related content production cost. Revenue sharing fees as a percentage of total revenues decreased to 4.6% from 13.2%, primarily due to the decrease in sales of MVAS products. Bandwidth cost as a percentage of total revenues decreased to 4.6%, from 5.3% in the same period last year. Sales tax and surcharges increased to 8.5%, from 7.6% in the same period last year. Thirdly, non-GAAP operating expenses for the third quarter decreased by 7%, to RMB152.9 million, from RMB164.4 million in the same period last year. Non-GAAP operating income for the third quarter was RMB19 million, compared to a RMB20.3 million in the same period last year. Non-GAAP operating margin for the third quarter was 5.3% as compared to 5.2% in the same period last year. The decrease in operating margin was mainly due to the increase in mobile traffic acquisition expenses. Fourthly, GAAP net income attributable to Ifeng for the third quarter increased by 49.5% to RMB31.7 million from RMB21.2 million in the same period last year. Non-GAAP net income attributable to Ifeng for the third quarter was RMB24.8 million as compared to RMB35.9 million in the same period last year. Non-GAAP net income per diluted ADS for the third quarter was RMB0.34 compared to RMB0.50 in the same period last year. In terms of balance sheet items, as of September 30, 2016, the company's cash and cash equivalents, term deposits and short-term investments and restricted cash were RMB1.16 billion or approximately $173.8 million. Restricted cash represents the process placed as a security for pension facilities granted to the company which are restricted as to their withdrawal or usage. In order to better incentivize our employees, the company has implemented a new option exchange program to place the lower exercised price therefore share-based compensation is expected to be increased in the coming quarter. Lastly, I would like to provide our business outlook for the fourth quarter 2016. We are forecasting total revenues to be between RMB353 million to RMB368 million, representing a decrease of 18.1% to 14.6% year-over-year. For net advantage revenues, we are forecasting between RMB306 million and RMB316 million representing a decrease of 11.6% to 8.7% year-over-year. While paid service revenues, we are forecasting between RMB47 million and RMB52 million representing a decrease of 44.4% to 38.5%. This concludes the written portion of our call. We are now ready for questions. Please go ahead, operator.
Operator: [Operator Instructions] Our first question today comes from the line of Wendy Huang from Macquarie. Wendy, please go ahead.
Wendy Huang: Thank you. My first question is about Yidian and also competition in the personalized area. So what kind of the financial and traffic target that you have set of Yidian for next year? Are you still on-track to consolidate Yidian in 2017? Recently we have also observed the increasing competition for new players, for some by due started to promote their new spirit. And today's headlines they raised more money and high variation. So can you comment on the competitive landscape. My second question is about some of the broadcasting initiatives in the prepared remarks. So what kind of random audio. How would you like to generate value from those broadcasting initiatives you just mentioned. Is it many through the advertising revenue that you used to derive from your traditional product or you also expected to get some kind of the tipping or bridge heighten transient rationalize what has happened. Thank you.
Ya Li: Thank you for the question, this is Ya. About the first question, about the user growth and revenue growth for Yidian's as we enter into the fourth quarter of this year, we accelerated our user growth, first all started to ship new handsets, with pre-installed Yidian's apps. Secondly, both for OPPO and Xiaomi handsets, we are starting to provide embedded news stream in their browsers, these two handsets, actually two of the top five manufactures in China. And also OPPO became the number one in the third quarter. Both of them have large existing browser user base, and also for the next 13 months towards the end of next year, we are expecting at least 100 million to 150 million new shipments, and we've preinstalled Yidian's apps, as well as embedded new service in their browsers. So we are very excited about this user growth, just from the strategic channel partners, we believe we should be able to double our user base from the level of over 40 million we announced in September. And also because our unique product positioning for Yidian, and that also really actually leads to manufactures initially choose to partner with us. We are trying to provide a balanced premium content, reaching average and professional journalism. So that we can provide news, not just based on the so-called interests, but also the quality content to make the content not only interesting or newsworthy, but also useful and tasteful. So this unique product positioning, based on our exclusive interest engine technology should also help us grow universe, from like IOS users, Apple users. We are also starting our brand advertising to help users understand new uniqueness of our proposition. In addition, I think profitably content premium content is also providing the Yidian users the kind of overall content experience, superior to many of the competitors. So that the pace for a very exciting user growth for 2017. On the revenue side, also based on our unique product a vision we can capture those user interests of better user interest Graph, beyond where interests like about reading some of the news really off tabloid content. We are capturing those useful and valuable interest of users, for their work, for their life, for their family, their health, education, investment, travel etcetera. So the better capture of users true and useful interests, is will provide us with a better transitions capacity for targeted advertising, in addition things our products combine users expressive interests with the AI based recommendation technology. So we are actually having the opportunity to in the range in areas like mobile search ads, and the mobile subscription ads, this is also based on our unique product feature and our unique product positioning. For the first three quarters of this year, we are starting to monetize and receive material revenue growth, entering this quarter and going next year as we accelerate our user growth, as mentioned earlier we are expecting the revenue to grow remarkable in 2017. Also the monetization efficiency effectiveness has been approved or validated by many of our peer companies. And then going to your question about the competitive attractiveness. Yes, I think just because of the attractiveness of this mobile leading sector, we see, you see and also I do answering this area in the form of the so called embedded new stream service. That's the same as we mentioned, as I mentioned what we are doing with the OPPO and Xiaomi browsers, we are the exclusive news stream provider embedded in their browsers. I think our user growth in this full of embedded News Stream. I think we’ll grow faster than both of these two competitors, despite of their existing large user base. I think the key strategic handset manual partnership is important for future user growth. It will be rather challenging for both of these leading peers to capture new users. We are right now just monetize through the new stream and native ads, based on existing user base for their new browsers and the mobile apps. However, we have a better user growth prospects. So we are encouraging by industry interest in this form of mobile new service, while we keep confident about our own growth. That's about the question you asked for Yidian. And going about the question for live broadcasting for Ifeng. I think the key is -- I think there are a couple factors, first, a regulatory side, I think regulatory body actually is keeping a close monitoring about the so-called chat room live broadcasting. However, we are leveraging our brand influence, and our media platform to provide live broadcasts for many events, like product launches, like a business conferences, like film premieres, like fashion travel and other vertical events. And these actually are very welcomed by nearly of the brand advertisers, and this is something unique. We have unique advantage in providing. So combining these live broadcasting with our brand advertising, especially the native marketing initiative. I think this will become a new revenue source. It's not based on the existing user base, rather the authoritative media influence we provide for all our live event, that's a very low complement many of our advertising partners and for the mainly of the event organizers. And all of that are addressed to your questions.
Wendy Huang: Thank you. I also have a question regarding the Q4 revenue guidance. Your Q4 revenue guidance seems can be [indiscernible] estimates. So can you maybe give more color on the rational [ph] provides the guidance you are giving. And also the business momentum by different segments. Thank you.
Ya Li: Okay. I think for the past quarter, we achieved year-over-year growth for our advertising revenue, despites of the soft economy and also continuous trend of migrating from PC to mobile advertising. Going into the fourth quarter, we continue to see the certainty -- increased uncertainty of the Chinese macro economy, that's why we want to keep cautious in providing guidance. However, we are making several or continue our several initiatives hopefully to achieve at least on the whole year base actually to be at least flat as last year. We are seeing rapid growth in our programmatic by the revenues. We are also continue to push our native marketing strategy initiative to generate more revenues for our brand advertising, and also I think we are leveraging the synergies between Ifeng and Yidian, trying to become larger media platform, to provide some integrated solutions for the major advertising needs of the leading advertisers. I think about the sector change the trends, we see the first auto industry continues to be the number one factor for us, and we see it stable and flat and the other -- the second factor is the E-commerce sector, we see E-commerce continue to be the number one factor actually on our PC platform, as our PC traffic is decreasing it's traffic at the lowest rate compared to our peers. And also, we have seen the overall E-commerce advertising expenditure to be stable, but for this quarter we have because due to the 11\11 factor, we see the e-commerce to grow compared to the previous quarter. And for the finance sector, which is the third contributor by sector, we are increasing a lot of new advertisers from insurance companies, from bank, traditional banks, from asset management and other small to medium size advertisers, based on our program by platform -- the fully platform, which helps us to increase not just for the finance sector but also overall, to increase the utilization rates of our ad inventories and to bringing more advertisers to feel both PC and mobile inventories. And also there are things that come the competition among the handset manufacturers, and telecom operators were also seeing the increase advertising budgeted from the communication service providers, and on Internet service side; we're also leveraging our programming by platform, to bringing more small and medium sized to advertisers. And another sector we are seeing opportunity for next year, is Chinese white wine the Baijiu industry, they stabilized over the last 24 months, and as we also getting information from some leading indicators like the Citi [ph] advertising revenue growth from the white wine industry. We are also expecting -- started growth in this sector, as it feeds our user profile better. We do have a lot of I think audience compared to other platforms who drink Chinese White Wines. So that's the sector by sector outlook for 2017.
Operator: Our next question today comes on line of Natalie Wu from CICC. Natalie, please go ahead.
Natalie Wu: Hi, good morning. Thanks for taking my question. Firstly, a housekeeping question; so what's the mobile contribution for your advertising revenue in last quarter? And also in terms of top five sectors, actually you just mentioned that e-commerce rank should be the firstly in terms of your advertising revenue and finance as the third. So what's the second contributor to your advertising revenue? And can you remind us of the contribution from the top five sectors to your advertising revenue? And also the second question is regarding your Yidian business, so Yidian DAU reached over $14 million in September, this is very impressive number. So just wondering how much of the $40 million is coming from app and how much from web? Are they with similar level of monetization potential in the future? And also can management update us the average daily using times in terms of Yidian? And also -- actually, I noticed that there is some litigation going between you Yidian's competitor, so wondering can management also have some comments on that please? Thank you.
Shuang Liu: Thanks, Natalie, this is Shuang. It's nice you have researched very important questions about the Ifeng's integration against competitors. Actually a few months ago, a user reported to us that when they try to upgrade Ifeng products on other competitor's app, installation alerts problem pops up. This is typical type of traffic hijacking behavior. Traffic hijacking has been a very, very big serious issue for internet companies and it continue to cause measurable damage for users. And also the competitors intentionally meets users who are searching to download Ifeng to install other apps instead to purchasing keywords from search engines. So this kind of actions actually are violating fear in business ethics and also severely impacted users daily consumption of Ifeng's product. So we decided to safeguard our right through legal actions. Actually by doing so we hope to help the industry to create a better fierce competition environment. I hope this answers your questions.
Ya Li: Hi Natalie, thanks for the questions. First, about the mobile contribution for the third quarter, it's 47% as compared to 29% a year ago or 40% a quarter ago. We did grow mobile advertising and we have 69% for this quarter. Secondly, you read the sector contributions. Let me first clarify that the e-commerce is the number one considered for our PC advertisers. However, on the mobile it's overwhelmingly big auto industry. So overall when we combine PC with mobile, the top five sectors and their contribution, so auto sector is 10%, e-commerce 13%, financial services 10%, our communications services is 9% and Internet services include like Internet transportation, like some of the other -- I think O2O and sharing economy all those internet services is 7%. These are the top five sector contributions. And on the Yidian's user, the 40 million DAUs, yes, currently I think the post the Yidian apps, the embedded news services in the browsers contributed to this number. However, do we exclude those browser users which do not use our embedded news service or we can't book user space down whether we have advertising capacity for that user on that day. In other words, if the user doesn't see our ads, doesn't -- of course excluding the factor of ads, we only count the users who is able to see our ad towards the DAU. Currently we do not provide the breakup between these two categories but we do believe in both, the app user and the embedded new service user will accelerate its growth. As I mentioned, OPPO started to shift their handsets with pre-installed Yidian app in late October. And about the time spend on our apps and browsers, the average time spend on our apps is about 15 minutes and are very small portion. I think less than or around 10% of that time is spent short form video. So actually users spend more time reading different categories of contents, we have over 3 million channels subscribed by different users, this 3 million channels make our user profile more accurate because we have a smaller concentration on both leisure and tabloid news or the breaking news; leisure tabloid news or breaking news provide the minimum information about users true interest for our targeted advertising or to provide better or useful information for the user. Well, our current idea has this -- in Chinese we call it [indiscernible]. Actually in current positioning it's quite different than most of the peers which is based mostly on the click-through rates or on users time spent to decide what content to push, to provide for the users. However, we wanted our contents not only to be interesting or newsworthy and also be useful and tasteful. So this methodology, this position allow us to increase user thickness as our value provided to users are not irreplaceable, cannot be provided usually by other platform, whereas most other platform users can jump from one to another, it's just different level of tabloid news provided which we think is [indiscernible] of human nature or human weakness. So also because of this our browsers time spending is quite high as well, it's -- I would say it's in -- it's about the same as many of the independent news aps for the time spend per user per day on our embedded new service on these two browsers. And this time also we are not providing enough personalization or much review content on our browsers or our apps yet. On our apps to an extent we are accelerating that, we believe that with increased video contents provisioning we well be able to further extend our times spend on our apps and also every start to provide video contents on our embedded news service of the browsers we should see continuous growth potential for the time spent on these browsers. But overall, I think our product positioning and our product -- the technology behind it will provide us with increased user's thickness, better targeted advertising results. And that's it Natalie.
Operator: Our next question today comes from the line of Bin Bin Ding [ph] from JP Morgan. Bin Bin, please go ahead.
Unidentified Analyst: Good morning, thanks for taking my question management. I'm very pleased to see that [indiscernible] product to management team. So my question is, what kind of changes or synergies can we expect that Chen Tong will bring to Phoenix as well as Yidian Zixun? And as Chen Tong as President of Phoenix and Yidian, so what we would Chen Tong's time and occasion pertaining to these two platforms? And my second question is about user engagement; so in addition to the average time spend for users, so can you give some more color in terms of user engagement, for example, as measured by the DAU and divided by the MAU ratio? Is there any major difference between the user behaviors and the users you acquired from pre-estimation [ph] as compared to the organic dollars? Thank you.
Shuang Liu: Hi, this is Shuang. Let me answer your first questions. Chen Tong will serve as the President of Yidian Zixun and continue to represent Xiaomi as the Director, and he will be fully responsible for Yidian's product operations, public relations, he will also serve as the Co-President of Ifeng, responsible for Ifeng's operation management. As I said in my opening remarks, Chen Tong is the pioneer of China's portal blog and a mini blog business. She basically defined the market and bring these three product line to the highest level in China's industry arena. So with his joining Ifeng and Yidian, he will bring his very supersensitive journalism and very strong execution capabilities as an extensive industry contacts and also very deep insights into our constant consumption behavior of all the engine users. His major -- I think he will spend more than half of his time and energy on focusing on Yidian Zixun, and also further accelerate the corporation between Yidian Zixun and Ifeng because there are lots of synergy in the areas of Way Media channel development and the constant cooperation and also major coverage of the current events and all the things. So he can help to realize the huge synergy in these areas between Ifeng and the Yidian side.
Ya Li: Hi, this is Ya. Thanks for your question. First of all, the user engagement measurements for Yidian; I think there are several numbers we did disclose in the past, first is the number of channels subscribed by our users, the three million companies, three million channels subscribed by users. That actually is truly unique, I think the only comparable platform is YouTube. YouTube has over a million channels, I think some are defined and sometimes subscribed by users. This large-scale or super DIY capacity allow us to provide the so-called value reading chance as we have to our users beyond tabloid news and the breaking news. And we -- internally we do measure many more aspects of user behavior like the number of search, the number of subscription, percentage of those things, and also other engagement numbers like the number of social sharing onto raising and wait for other social platforms, the number of -- like markets favorites, the number of user discussion, user comments, etcetera. I think these and many more engagement numbers, we do that, we scarcely disclose them as we -- some internal measurement we watch to improve our user satisfaction, also to improve user stickiness, prevent user exit to -- to jump to other platforms. And so the MAU level to the DAU level -- I think that we are among the highly frequently used platforms; I think among the top three. But the actual number we never disclosed in the past. Lastly, you mentioned about the importance of the number of organic downloads, we've realized that our product positioning and value proposition for our users actually referenced I think the direction of the evolution of the mobile rating. And that's the reason in the beginning why Phoenix New Media where Ifeng threatens to be invested in EDM because it fits well with our mission of providing the premium content and professional journalism on the two useful conference for our audience. And secondly, that's also the reason that these two leading handset manufacturers also -- and [indiscernible] choose us and not some of the other competitors as their exclusive partners. However, we do believe that our -- the product position and the value proposition will also attract users as I think is the mobile rating evolves but we do have to go through the tasks of first improve brand awareness and also the -- to convey our unique product position and the true value to the audience. And that's why we started round up more brand advertising in mid-October through November and we believe going into 2017 we will increase more budget in brand advertising, also independent channel promotions to help increase user growth and also organic download. One of the measurement about users acceptance of our app is in the trend of users so we obtained from the social sharing because now everyday as millions of -- tens of millions of users are using our of our service, they also share our contents unleashing on legal platform and this creates user acquisition opportunities. We are seeing the trend that as that users acquires through that social sharing on a daily basis doubled in the last three/four months. That's also indicator of -- I think the direction of our organic user acquisition going into the 2017.
Unidentified Analyst: Thank you very much.
Operator: Our next question today comes from the line of Xin Wang from Citigroup. Xin, please go ahead.
Xin Wang: Hi management, thank you for taking my questions. I have two questions; the first one is, how to see the user overlap between our news app and Yidian? And the second one is, what's the Yidian's traffic breakdown by OPPO and Xiaomi and other category? And what's the breakdown for the incremental part of the traffic? Thank you.
Ya Li: Thank you for the question. First, I think we have rather different user profile -- Ifeng news app, and the Yidian news app; I think -- yes, right now on Yidian we have more users which are also Xiaomi handset users and also OPPO handset users, and Ifeng, we have more IOS users. Actually create opportunities for us to cross promote our users as these two products have different positioning. I think Ifeng news app, we do emphasize more on professional journalism, and newsworthy events like today's U.S. presidential coverage. And Yidian, we provide more comprehensive but more even more personalized contents based on user intelligence and machine learning and Big Data and our unique product positioning. So this user profile difference actually creates some synergy for us in the future. And also Yidian's larger mobile user base will help to -- help Ifeng's original contents and media influence to spread over a larger user base. So that's another of synergy for them. And on the Yidian's traffic breakup, we do not provide that information at this time; however, as OPPO starts to ship handset with pre-installed Yidian apps, we believe that OPPO's user contribution will increase rapidly. And both on Xiaomi and OPPO, we see that users through embedded new service on the browsers to grow very quickly. As the browsers system level fundamental software provided by the handset manufacturers, they are not removable, and they are positioned at the bottom of the handsets and very easy for users to launch the service. And as I mentioned more importantly, the time spent on these browsers for our embedded news service actually -- given now it's at the beginning or already at the same level as the average time spent by many of the peer independent apps, news apps. So we are confident the overall traffic growth including my previous answering -- on my previous question, the organic user growth will overall contribute to a very healthy contributions to our -- to next year's users which would be at least double from the September level this year. Thank you.
Xin Wang: Thank you.
Operator: There are no further questions on the line at this time. I would now like to hand the conference back to Matthew Zhao for closing remarks.
Matthew Zhao: Thank you, operator. We have come to the end of our Q&A session and our conference call. Please feel free to contact us if you have any further questions. Thank you for joining us on this call. Have a good day.
Operator: Ladies and gentleman, that does conclude our conference call today. We thank you all for your participation. You may now disconnect.